Operator: Hello and welcome to the Vita Coco Company’s First Quarter 2022 Earnings Conference Call. My name is Liz, and I’ll be coordinating your call today. Following prepared remarks, we will open the call for your questions with instructions to be given at that time. I will now hand the call over to John Mills with ICR.
John Mills: Thank you. And welcome to The Vita Coco Company first quarter 2022 earnings results conference call. Today’s call is being recorded. With us are Mr. Mike Kirban, Executive Chairman; Martin Roper, Chief Executive Officer;and Kevin Benmoussa, Chief Financial Officer of The Vita Coco Company. By now, everyone should have access to the company’s first quarter earnings release issued earlier today. This information is available on the Investor Relations section of The Vita Coco Company’s website at investors.thevitacococompany.com. Also on the website here is an accompanying presentation of our commercial and financial performance results. Certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management’s current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today’s press releases and other filings with the SEC for a more detailed discussion of the risks factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also during the call, we will give some non-GAAP financial measures as we describe the business performance. The SEC filings, as well as the earnings press release, and supplementary earnings presentation providing reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures are available on our website as well. And with that, it is my pleasure to turn the call over to Mike.
Michael Kirban: Thanks, John, and good afternoon, everyone. Thank you for joining us today to discuss our first quarter 2022 financial results and full year guidance. I’ll begin this afternoon’s call by reiterating our long term growth strategy and discussing our leading position in the fast growing coconut water and coconut water adjacent categories. Martin Roper, our CEO, will then discuss the details of our top line growth drivers, provide an update on our supply chain and outline our pricing plans and initiatives. Kevin Benmoussa our CFO, will finish with a more detailed discussion on the quarter – on the first quarter results and our updated outlook for the year. To start, I want to sincerely thank all of our colleagues all over the world for their continued commitment to The Vita Coco company and their dedication to our mission of creating ethical, sustainable, better for you beverages that uplift our communities and do right by our planet. Our first quarter was another quarter of strong top line growth, validating that our strategic initiatives are working. Net sales grew 28% year over year to $96 million in the quarter with our flagship Vita Coco Coconut Water brand as the main driver of growth increasing 38% over the prior year period. The overall coconut water category continues to show robust growth and according to IRI it is growing at a rate of 13% in US measured channels, with Vita Coco Coconut Water driving most of that growth and taking incremental share of the category. Today, we enjoy undisputed category leadership with 50% share, which is up 7% from a year ago, according to IRI measured tracked channel MULO-C. This rate of growth often leads me to getting asked the question why over the past couple of years has Vita Coco being growing so fast? So I thought today it would make sense to break down our growth and share with you where it’s coming from and why we believe it will continue well into the future. For starters, coconut beverages are part of the changing taste of America, driven in large part by demand from multicultural and specifically Hispanic and Asian American consumers. We believe these consumer groups have demonstrated a preference for natural and functional beverages and in many cases an affinity for the coconut. To provide a sense of scale of the popularity of the coconut as an ingredient in beverages, it is a segment of $2.8 billion in size in America, which is bigger than oat and almond combined, and has been outgrowing the total beverage segment by 200 basis points according to SPINS. We are one of the most recognized coconut beverage brands in the world and find ourselves in the unique position due to our asset-light brought to market as well as our supply chain, which ties profit to purpose, to benefit from the opportunity to source from a very large beverage marketplace. Over the years, we’ve found that our products actively sourced from the $11 billion juice category, while at the same time we offer a natural source of electrolytes, allowing us to source some of the $10 million isotonic category. As the leading innovators in the coconut beverage category, we have a track record of translating these opportunities into category growth, market share and increased household penetration. As an example, since we launched the Vita Coco Pressed line three years ago, we have grown that innovation to 69% ACB while delivering 17% of our total branded volume and adding an entirely new consumer to our base. As a matter of fact, 16% of our consumers only buy Vita Coco Pressed. As a beverage pioneer, we plan to continue to take a leading role in driving innovation in the coconut water and coconut water adjacent categories. This year, we’re accelerating our efforts to source from the juice category with our Vita Coco juice cans launched in regional c-stores this quarter. On top of that, we’re building on our strength in the hydration segment by rolling out our coconut drink mix powders at select national retailers and expanding our distribution of Vita Coco coconut milk. Meanwhile, we’re pushing growth in shopper baskets with our multi-pack expansion in food and mass channel. According to numerator Vita Coco’s household penetration currently stands at 11% on a 52-week rolling basis, that’s up approximately 170 basis points over the last year, meaning that we’ve added about 2.4 million households versus the prior year. While we’re extremely proud of the progress we’ve made, we believe our coconut beverages are still in the early days of becoming a household staple and that there is meaningful headroom as we continue to add households and consumption occasions. Putting it all together, we remain confident in our ability to deliver on our long-term algorithm of mid-teens net sales growth. Additionally, we remain committed to our goal of being the industry’s better beverage company, one which focuses on providing healthier alternatives to conventional beverage brands and one that strives to do better for the world in which we live. Our strong brand momentum, combined with our commercial execution over the last 12 months, has resulted in increased space and distribution for our brands this year. Based on this brand health, a strong demand environment and our market leading position, we are now comfortable executing the first frontline price increase taken by our company in many years. And we believe that by the end of this year the planned price increases should, on an annualized basis for 2023, fully offset the current unusual cost levels, which Martin will elaborate on further. Before I turn it over to Martin I want to briefly mention the change in management titles announced last week. Martin and I have decided to transition from our titles of Co-CEOs to Martin as CEO and myself as Executive Chairman. Throughout the IPO process and in the months following our IPO, there have been many questions around what does Co-CEOs mean, who does what, et cetera, et cetera. We both felt that the best way to clarify our roles was to change our titles and that’s what we’ve done. Martin and I’ve been managing the business in partnership for the last three years, and neither that partnership nor the structure of it will be changing in any way. Martin will continue to run the day to day operations of the business. While I continue to focus on the areas where I’m most passionate and can drive shareholder value, which are creating long term strategic growth opportunities for our business, expanding our relationships with suppliers and retailers, growing our social impact work, and driving our entrepreneurial culture. With that, I want to reiterate the excitement and fire I feel inside as we continue to drive growth with our core brand bring new healthy alternative brands to market, and ultimately become the leading diversified non-alcoholic beverage portfolios of the future. And now I’ll turn the call over to our Chief Executive Officer, Martin Roper.
Martin Roper: Thanks, Mike. As Mike said earlier in his comment in terms of our top line growth, we are very pleased with our strong start to 2022 in both the first quarter and into the second quarter so far. We remain encouraged by the strong consumer demand for our products and we’re pleased with our supply chains ability to successfully meet most of that demand even in a very challenging transportation environment. In the first quarter of 2022 we increased global net sales by 28% to $96 million compared to net sales of $75 million in the first quarter of 2021. The strong performance versus last year was driven by 38% growth Vita Coco Coconut Water and 17% growth in private label. Net sales in the Americas, which comprised 88% of total net sales in the first quarter of 2022 increased 33% to $85 million, compared to $64 million last year. Net sales for our international segment, which comprises the remaining 12% of total net sales, were roughly flat to the prior year. Within the Americas growth of our branded portfolio is supported by a number of initiatives across all channels and by our decision to prioritize growth and gaining market share over increasing price substantially. In the first quarter of this year, we gained an incremental 3,000 points of retail distribution and we believe we remain on track to gain up to 25,000 new points of distribution as new sets are completed this year. While early into the launch of our Vita Coco juice can offering we have been met with positive reaction from C-store retailers and the first few weeks of scan data are encouraging. In food and mass channels we’ve gained incremental shelf space on our multi-packs for 1 liter, 500 ml Vita Coco Coconut Water, which are performing well and while representing a slightly lower revenue per case equivalent are contributing meaningfully to our growth and to our average consumer purchase. One of our key competitive advantage is, that underpins our strong top line performance is our supply chain. It has continued to perform well with the unprecedented supply chain challenges the world is facing, particularly the unpredictability survey of ocean shipping containers and rates, and challenges at ports with detention and demurrage. While we are short on certain SKUs in certain locations, we are happy with the overall flow of our product given the conditions. We exited 2021 with the outlook for the transportation cost environment particularly the ocean freight market which start to stabilize this fiscal year. However, a combination of unforeseen factors including the China COVID shutdowns, conflict in Europe, continued port congestions and continued strong demand has translated into both transportation capacity and pricing remaining unusually tight. Kevin will discuss in more detail the impact this has had on gross margin. But there are essentially three major buckets within our cost of goods that we want to emphasize. The first is finished goods, which was favorable in the quarter with our average cost per case equivalent of product purchased at manufacturer declining on a cost per case basis based on favorable sourcing decisions and product mix. The secondary is domestic transportation or warehousing costs which were significantly elevated in the fourth quarter of 2021 and into the first quarter. We took steps to mitigate these cost increases late in the first quarter of 2022 through changes in customer service levels and freight utilization initiatives and have been encouraged by the recent improvements. Although those costs driven by port congestion are expected to remain challenging. And the third area is ocean freight, which has remained elevated and unpredictable and applied the most meaningful pressure to our cost structure in the first quarter versus prior year. Also, as a reminder, late last summer we entered into a multi-year commitments to cover part of our 2022 ocean container needs at an attractive rate. That has proven to be a very prudent decision. We have been strategically patient in entering into additional fixed rate contracts in this elevated market and have focused successfully on securing capacity guarantees for the balance of the year. Based on current commitments, approximately two thirds of our container needs for the remainder of 2022 are secured at contract prices, and our financial outlook assumes the balance of our needs are priced at the current prices that we are being offered. We have some flexibility to manage exactly what containers we need based on volume trends, inventory levels and sourcing decisions. Last year, we chose to pursue market share, volume growth, increased distribution and shelf space rather than take price as we believe the elevated costs and disruptions will be more transitory than they appropriate. Given the duration and magnitude of the cost pressures and based on our commercial performance, including our strong brand trends and expected increased shelf presence. We now believe that we are well-positioned to implement frontline price increases in the second quarter with further increases planned before the end of the year, setting us up well in 2023 to fully offset the current cost levels. We still firmly believe these cost impacts are temporary and we’ll structure our price increases to allow us to adjust our approach if the cost outlook improves. Our primary commercial focus for the balance of the year is navigating the supply chain logistics challenges, executing our price strategy, and continuing to build the opportunities of canned coconut juice in C-stores and multi-packs in mass and food channels. We feel very good about our ability to achieve our revenue guidance for 2022. And while we believe the initiatives that I’ve just described may offset the unexpected elevated transportation costs for the balance of the year, we must lower our full year adjusted EBITDA guidance to account for the elevated costs experienced before these initiatives are fully implement. Based on everything we see in the market currently, we believe the worst may be behind us from a margin deterioration perspective and that we would expect our gross margins to return back closer to historical levels as our pricing take effect or if the cost pressures subside. Our outlook represents current cost levels and expectations for the improvements I have just mentioned. With that, I will turn the call over to Kevin Benmoussa, our Chief Financial Officer.
Kevin Benmoussa: Thanks, Martin. And hello, everyone. I will now provide you with some details on the first quarter 2022 financial results. I will then discuss our updated outlook for the 2022 fiscal year. Even while we continue to post record breaking sales growth, we are currently navigating through extraordinary times which have had a disproportionate impact on our margins. But our company remains on healthy financial footing as we still anticipate generating meaningful profits on a full-year basis and continue to operate with fairly low leverage and/or liquidity. In Q1, net sales grew 28% to $96 million, an increase of $21 million compared to the first quarter of 2021. The increase was driven by continued strong consumer demand for Vita Coco Coconut Water, with global net sales for its product category up 38%. On the segment basis, within the Americas, Vita Coco Coconut Water grew 40% to $59 million for the first quarter of 2022 as compared to the same period last year. The increase was primarily driven by higher case equivalent volume from continued strong consumer demand, combined with positive price mix benefit. Private label grew 20% to $23 million for the first quarter, driven by a strong book of orders and ample inventories on hand. International segment net sales grew 2% to $12 million in the first quarter of 2022 were driven by higher case equivalent volume in Europe, partially offset by our China market, which was impacted by a return to lockdown and lower opportunistic commodity sales across other APAC markets. Within the international segment, Vita Coco Coconut Water grew 29%, while private label declined 5%. On a constant currency basis, the international segment net sales growth was also impacted by negative forex impact of approximately two percentage points. Consolidated gross profit for the first quarter was $19 million, driven by strong case equivalent volume growth, favorable net pricing and positive mix from Vita Coco Coconut Water, which were more than offset by significantly higher transportation cost versus last year. Vita Coco Coconut Water supply chain continues to perform exceptionally well given all the market disruption, the cost to meet the demand primarily related to the transportation environment remained elevated well above what we expected as we head into the year. As a result, our consolidated gross margin in Q1 contracted approximately 12 percentage points year-over-year to 20%. Moving on to operating expenses, our SG&A in the first quarter increased $5 million to $25 million versus the same period last year. The increase was largely due to increased spending on personnel, including equity-based compensation and all the costs related to operating a public company. Moving down the P&L, net income attributable to shareholders was $2 million or $0.04 per diluted share for the first quarter of 2022, which benefited from a non-cash mark-to-market FX gain of approximately $9 million compared to net income of $2 million or $0.03 per diluted share in the first quarter of 2021. Adjusted EBITDA in the first quarter was a loss of approximately $3 million versus a gain of approximately $6 million in the same period last year. The year-over-year decrease was driven by the decline in gross profit, combined with higher SG&A spend as previously discussed. Now I would like to provide more detail on the drivers of our gross margins contraction in the quarter. We have experienced persistent cost pressures from transportation, most notably ocean freight container shipping costs and domestic logistics, including outbound freight. Our first quarter was impacted by unexpectedly high operations related to clearing issues at ports that we only had full visibility into very late in the quarter. Some of these charges were particularly unusual, resulting from a highly disrupted global logistics environment, which we do not anticipate will repeat through the next few quarters. We estimated the impact of the design win for the quarter to be approximately $2 million. As you can see, in the presentation we posted earlier today on our Investor Relations website, our total cost of goods increased 19% on a cash equivalent basis, mostly driven by a sharp increase of our transportation costs, while finished goods benefited from positive rate mix. Within transportation costs, our domestic logistic costs were up over 50%, while ocean freight more than doubled versus last year. To put this into context year over year our total transportation cost mix as a percent of our total cost of goods went from 25% to 40%, which on a rate basis represented approximately $15 million impact on our gross profit for the quarter. What I hope this highlights is a significant upside we have to our gross margin structure was this transitory cost pressure issue, which we remain confident will ultimately happen. As Martin described earlier, we have made a deliberate decision to remain strategically patient and not to lock ourselves into what we believe are overly inflated ocean container rates. This means that when spot rates do subside we believe we will be well-positioned to recover relatively quickly, and we expect that based on current assumption, the positive impact on our margins should be significant. Okay. Turning to our balance sheet and cash flow, as of March 31, we had total cash on hand of $18 million and $12 million of debt under a revolving credit facility compared to $29 million of cash and $0 debt as of December 2021. The decrease in net cash was primarily driven by working capital as per our business seasonality partially funded by our credit facilities. Now moving on to our full year guidance. We continue to expect fiscal year 2022 net sales to be between $440 million and $455 million, representing growth in the range of 16% to 20% versus 2021, as consumer demand for our products remained very robust. However, as we have discussed, the cost environment and its negative impact on our gross margins have been very challenging, especially in the first quarter. As a result, we are updating our forecasted non-GAAP adjusted EBITDA to be in the range of $27 to $32 million, which reflect the increased cost pressure we’re facing and accounts for the further mitigating action we have identified across our P&L for the remainder of the year. Embedded in our guidance are the following assumptions as you think through your model. For net sales, we expect continued strong cash equivalent volume growth in 2022 in the mid-teens with a few percentage points positive price mix lift driven by the Americas segment as pricing actions start to take effect in mid-late Q2. We are expecting cost of goods sold per case equivalent inflation in Q2 and Q3 to run into the high single digit to low double digit versus prior year, which should moderate towards end of year as we last larger cost increases in Q4 2021. As a result, we’re modeling an improvement in gross margin in Q2, followed by a slight sequential improvement in Q3 and Q4 and anticipate our full year 2022 gross margin to land in the mid-20%. Below the line, we expect higher year-over-year appearing expenses from increased personnel expenses and costs associated with being a public company. Though we have identified opportunities to optimize and slow the pace of some of these investments. And with that, I’d like to turn the call back to Martin for his closing remarks.
Martin Roper: Thank you, Kevin. To close, I’d like to reiterate our confidence in the long term potential of The Vita Coco brand. We remain excited about our key initiatives to drive growth long term and short term, despite the persistent challenges in the transportation environment we are encouraged by the continued strong consumer demand for our products and are pleased with our supply chains ability to meet that demand while providing a high level of service to our retail partners. The Vita Coco Company has a strong balance sheet and we are well positioned to emerge stronger once transportation costs subside which we firmly believe they will. Thank you for joining us today and thank you for your interest in The Vita Coco Company. That concludes our first quarter earnings prepared remarks and we will now take questions.
Operator: [Operator Instructions] Our first question comes from Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: Thank you. Hi, everyone.
Martin Roper: Hi, Bonnie.
Kevin Benmoussa: Hi, Bonnie.
Bonnie Herzog: Hi. My first question is on your full year EBITDA guidance. I guess it implies a pretty big ramp for the remainder of the year. And given everything you’ve faced in Q1 and what you called out in terms of the continued gross margin pressure. I’m just trying to understand what this assumes for your SG&A expense. I think it’s going to need to be a fair amount below prior year as a percentage of sales. And I just want to make sure I’m understanding that and in the drivers behind that and then certainly what it assumes in terms of your marketing expense versus maybe your prior expectation.
Kevin Benmoussa: Yes. Hi. Hey, Bonnie. This is Kevin, I’ll take this one. So right so Bonnie, so what you’ve seen reflecting your guidance is essentially reflecting the higher than expected cost environment, right, which is offset by the incremental pricing action and some of the accelerated cost saving initiatives we plan to take for about a year. We plan to increase pricing, that’s starting actually mid to late Q2 and you’ll see that effect also in Q3 and Q4 as well. In term of SG&A spending expected to be fairly smooth across the quarters remaining. We expect marketing spend, to your question, to be in the mid-single digit, I suppose a bit of net sales as opposed to what historically has been in the mid-to-high single-digit. So what this means is on the dollar term will probably be more or less flat to last year in dollar terms, right. So that answers a part of question here and we also identified some efficiency initiative across our fiscal structure right as you think about the rest of the SG&A. So that’s really what makes up our guidance and we feel confident we can achieve that the balance of [indiscernible] execute upon that.
Bonnie Herzog: Okay. So just a quick follow-up on that just in terms of marketing growth just seeing now mid-single digits. Just trying to think about that relative to the underlying consumer demand. Is that the right amount as your business continues to grow to kind of pull back on the spending or is it a reflection of you guys becoming a little bit more efficient with your marketing spend potentially?
Martin Roper: Hi, Bonnie. It’s Martin, I’ll take that. I think the underlying demand for our branded product remains very strong and we’re certainly from the business front but you’re not currently challenged by a lack of demand and the supply chain challenges, we’ve been able to support the demand but it’s there are sort of some gaps on SKUs and certain costs and it’s not like we need to accelerate demand given what we’re currently dealing with. So we’re very happy with demand. I would point you to our investor deck, which talks about the three years back, you’ll see that the demand remains very robust on a three-year comparison basis. The one year comparison is it’s got some noise in it due to some activity last year, two year stack has some noise in it due to COVID. So the three-year stack we think is probably representative of the health of the business. And as we – I think it’s obvious from our comments that the transportation costs came in higher than we anticipated, certainly than we had anticipated when we last spoke to you. And we basically took the decisions to take aggressive actions on pricing and on SG&A to basically make sure that our model worked in a way that we were comfortable with, given the fact that demand is not currently not appeared to be a major problem.
Bonnie Herzog: Okay. No, that’s helpful. And then I guess my second question is on the pricing. I mean, maybe first on your Q1 results and just looking at on, I guess what I’m seeing it’s limited price realization in the quarter, so I just want to make sure to understand the key drivers of that. And then you’ve called out the first front line price increase and I think you guys mentioned a few percentage points, but could you help us understand is that low-single digit, mid-single digit pricing? And I heard the timing being implemented mid-to-late Q2, but give us a sense is that across your portfolio or channel, et cetera., just trying to understand where that’s going to be most effective? Thanks.
Kevin Benmoussa: Sure. So I can start here, Bonnie, here around your question on the price mix benefit we expect, right? So if you recall, when we talked a few weeks ago we discussed about the price mix expected to be mostly in the Americas in the low-single digit with some offsetting impact from international right. So essentially having sort of a limiting impact overall on price mix on a consolidated basis what we expect now is actually some positive mix lift on a consolidated basis right would it be driven by higher impact but positive impact in the Americas due to the pricing action we are taking. So if you think about the positive lift in the remainder of the year it is fair to assume to expect a low single digit price mix benefit that will help our supply and net sales overall.
Martin Roper: And as it relates to sort of the lot what’s going to happen Q3, Q4 I think we’re not comfortable giving a number of other than we think it prudent to plan for price increases that on a solid basis would cover our cost of goods increase that we’re currently experiencing. And that will give us flexibility to react either way. If and when those costs decline or if they were to worsen, we could put more in. But I think currently we just want have flexibility. So that’s how we’re thinking about that by the end of the year which we think will set us up for good 2023.
Bonnie Herzog: Okay. Thank you for that.
Martin Roper: Thanks, Bonnie.
Kevin Benmoussa: Thanks, Bonnie.
Operator: Our next question comes from the Laurent Grandet with Guggenheim.
Laurent Grandet: Hey, good evening, everyone. probably the first question...
Martin Roper: Hey Laurent.
Laurent Grandet: Hey, probably the first question is really – more clarification, it’s right – already be talking about 2023. So you said in your press release that gross margins were impacted by increased transportation costs and that the price action you are taking for the remainder of the year should fully offset in 2023 to transportation costs. If so that it mean that gross margins should come back to the level you enjoy or you were planning for 2023 and for 2022 and 2023.
Kevin Benmoussa: Yeah. Hi, Laurent. Good question. I’ll take that, this is Kevin. So to that Laurent what we’re saying here is, we’re assuming right now at some cost level that after you take into effect all the pricing action we’re doing sequentially in the remainder of the year on an annualized basis that you start next year, you should cover pretty much in dollar terms the inflation we’re seeing this year. What this means is margin we should see expansion next year. So you’re right, though, it will take a little bit of a ramp up to get fully to this record level of the mid-30s we’ve experienced right over the last couple of years. So we should get that couple of points of margin for sure and what we’re saying is we will cover most of the inflation that we’re seeing on dollar terms here.
Laurent Grandet: Okay. Thanks for the clarification. And then, I mean, it’s more about your growth and beyond kind of your core business. You changed few things I mean you moved I mean boosted to energy. You are launching a juice can. You said again, you want to push for coconut milk, but like really to have more colors about those initiatives? I mean, coconut milk, I’m not sure I mean, like to understand how you are sure about it? And it doesn’t show up in panels numbers and your other segment is relatively small still. So especially on those three products so boosted became energy, the juice can and the coconut milk. Thanks.
Kevin Benmoussa: Yeah. Great question. I think all these initiatives, the ones we’re excited about and they’re all showing promise, but they’re really somewhat small in their current form. So we didn’t choose to elaborate them on our scripts or comment about them fully. I would say that each of them is in it’s their own is interesting, exciting and has significant potential. And rather than spend a lot of time talking about things that aren’t happening, I think our thought was we would raise them as they start to show potential that we can celebrate rather than talking about things that are still pretty small in a new contract.
Laurent Grandet: Okay, fair enough. I’ll pass it on. Thank you very much.
Martin Roper: Thank you.
Kevin Benmoussa: Thank you.
Operator: Our next question comes from Brian Stein with Bank of America.
Brian Stein: Hey, thanks, Operator. Good afternoon, everyone. So I guess first just a follow up on Bonnie’s question. And I just want to make sure I understood it right. Kevin when you talked about marketing over the balance of the year. Is that a change from what you were expecting before? So you are actually going to be spending less in marketing for this year than what you were originally planning at the start of the year.
Kevin Benmoussa: Yeah. Yeah, it’s hard to think about it this way. I think we find ways to be efficient with our marketing spend. We review our marketing mix and we will calculate the right one. Even with the efficiency initiative we have identified our brand so that that’s good to assume that we plan on spending a bit less than originally thought.
Brian Stein: Okay.
Kevin Benmoussa: In order to...
Brian Stein: And if some of that tied to I think I’ve heard a couple of times there’s maybe some SKUs or there is it’s still not perfect, right, in terms of product availability. So is any of that tied to just, don’t want to overstimulate the consumer because you want to make sure you’ve got enough product on. Is that part of what the factoring was in that decision?
Martin Roper: Yes.
Kevin Benmoussa: Yeah, I think actually obviously the demand situation I think we described it as being tight right it’s lumpy as in terms of SKU availability and by coast, and overstimulating that demand would likely make it more lumpy. So yeah that’s certainly entered into it and we’re obviously feel pretty good about sort of the consumer demand, the consumer interest the increase of growing household penetration, everything and certainly acquired on the demand side relative to a marketing investment being slightly reduced from what was planned.
Martin Roper: Better a lot, but basically flat last year.
Brian Stein: Got it. Got it. Got it. Okay, helpful. And then just last one for me is just, I guess is we were looking forward. Right. And Kevin, you did a very nice job laying out the buckets of where the cost pressures are and cost of goods sold on. Are those pretty well locked in at this point? Or, is there a lot of room for variability? And I guess reason why I ask is does, it’s changed, right? On March 9, you reported earnings and you had a view on what costs were. And especially in the first quarter, it was a lot different. Right. So it just seemed like maybe either things moved around or, there were something in terms of the visibility that’s I’m just trying to understand, I guess, as we look forward here, how much more visibility maybe do you have today on that cost pressures than maybe you did on when we spoke on March 9?
Kevin Benmoussa: Yeah, let me take that Brian. Good question, right. So when we spoke earlier in the year, we have planned assumption that we’re reasonable late Q4 to Q1 as we head into the year. We didn’t fully anticipate the impact of ocean freight in structural domestic objectives. Right. So what I would point you out to the $2 million that I’ve mentioned in my earlier prepared remarks, of course, that were really both unusual and one time in nature, those costs are going to be more specific. They were related to clearing issue at ports with containers, detention demurrage and those costs. We only had visibility on these and frankly, very late in the quarter. So we think those costs will repeat. We have identified them and we have also been placed proper mechanism to prevent other issues like that. So that’s already a big chunk of what we’ve seen in Q1. That was $2 million. And then frankly, we’ve got to use been putting our capability across system forces and teams to get even better visibility as we head into the quarters. Right now, based on what we’re seeing and the anticipated elevated environment we are in, we feel confident we can deliver on the balance of the year and execute upon that. And basically what we’re seeing Brian, is that the continued pressure we have in the customer’s balance of year will be offset by the action we’re taking right, both on the pricing, but also below the line as you think about SG&A and other action items, right. So that’s how we think about the balance for the year and we have a better visibility of that.
Brian Stein: Okay. Thank you for that. So basically if we’re kind of thinking about 2023 and again just thinking about margins and profitability and acceleration in gross profit, really we should just be looking at ocean freight, right, I mean that’s effectively like how has that loosens up or moves, that’s going to be the real driver in terms of margin recovery in 2023.
Kevin Benmoussa: Yeah, so...
Martin Roper: I think that’s going to be the biggest driver. There are costs related to potentially demurrage that are tied to port logistical snarls, but ocean freight will be the biggest driver and in fact returns to five-year circle norms and that’s a big unlock.
Brian Stein: Okay, perfect.
Kevin Benmoussa: All right. Thanks, guys.
Martin Roper: Thanks.
Operator: Our next question comes from Chris Carey with Wells Fargo.
Chris Carey: Hi. Thank you. So just following up on that line of questioning. What if your outlook for prosper cases have led tracks ahead of what you’re currently thinking, you’re already going to be spending a little bit less between the lines. Would you look at maybe a little bit more pricing or are you happy just to maintain the market shares and kind of take a little bit more of the pressure on the margin and set yourself up for 2023?
Kevin Benmoussa: Hi Chris, So let me take that. So I think what we’re seeing, Chris, is we’re actually being more aggressive now, right and I think when you take a step back, first of all, so I want to highlight the fact that we’ve talked about it earlier this year when we came out to Q4. In the last year, we took the strategy in by design not to take too much price, right. So because we realized we’re in a unique time to really push out the competition, gain share and we actually grew a lot. We gained share over 7 points. So we now kept it in obviously 60% share. So the strategy has really worked. I think fast forward where we are today, given the environment we are in, from the cost point of view, we still will have much stronger footing to take more price and that’s what we doing. And we feel that this internal price action will be taken combined with the other cost initiative we have a balance of the year, will fully offset the incremental fresh on cost we’re seeing. So this really is the way you have to think about it and we’ll feel comfortable with the action we’re taking right now from a pricing point of view. Hope that answered your question.
Chris Carey: Okay. Okay. Yeah. That’s helpful. And then, just on top of that, right from a distribution potential in the US, clearly, if you track ahead of your long-term algorithm, what prevents you from continuing to do that over time? Are you concerned that growth starts to slow after these really significant market share gains? Or do you feel like you’re in a position to continue on this pretty significant level of top line growth? Thanks.
Martin Roper: Well, I think, first of all, the category is very healthy. Right. And it’s growing sort of double digits. I think we’re positioned to help that category grow and we still have plenty of distribution options. We’ve talked historically about the opportunities in C-store, which the juice can product which is going to unlock. Reminding of that, that is currently just in a couple of regions and it’s not a national launch and hasn’t been offered to the major retailers yet. So we feel pretty comfortable with our long-term algorithm. Yes, we seem to be currently ahead of it. But, and hopefully we can stay ahead of it maybe with the supply chains returning to normal and costs returning to normal, that would allow us to accelerate that. But we don’t see an end of this runway, I suppose, for at least a couple of years.
Kevin Benmoussa: Yeah. I think I spoke a little bit about that in my remarks also. And I think it’s the – one of the key things we continue to add households indications and we believe that we can continue to do that with the category is still in its infancy and that we continue to drive category growth as the clear category leader. So that’s the objective.
Chris Carey: Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from Rob Ottenstein with Evercore.
Robert Ottenstein: Great. Thank you very much. I was wondering if you can talk a little bit about the competitive dynamics that are going on, presumably given the supply chain issues that are in the market, your – the other players are probably having just as bad if not worse issues, so are you are you seeing significant out of stocks from competitors? How are they reacting? And to what extent has that enabled you to gain market share in shelf space? Thank you.
Martin Roper: Yeah. I think we’ve seen the smaller competitors taking price much earlier than the bigger competitors and that sort of gives us some confidence that price can be taken here and there’s less promotional activity at the low end of the category. We have benefit – we probably- we believe we have benefited, right. And that’s allowed us to gain more shelf space and actually reduce the shelf space of our competitors. So, we hope that that is a long-term of range of our strategy, and we also believe that the fact that the competitors are having same cost structure and supply chain pressures, as we all should help us as we start to take price and hopefully continue to gain share and see them.
Kevin Benmoussa: Remember also there’s...
Martin Roper: Yeah, go ahead.
Robert Ottenstein: No, I’m sorry.
Kevin Benmoussa: I was just going to say, remember, also there’s a long tail in this category. There’s not significant number two and number three players, being larger than the next ten competitors combined. It’s hard to really track, what the competitors and what the sector having, they’re all quite small in comparison.
Robert Ottenstein: But I guess my thought is, is that given the sort of pressures that you are facing and given your scale advantages, that it would be hard to believe that most of your competitors are making any money at this point.
Martin Roper: That’s right. It’s got to be worse for them.
Robert Ottenstein: Okay. Thank you very much.
Martin Roper: Thanks.
Operator: Our next question comes from Jon Anderson with William Blair.
David Shakno: Hi. This is David Shakno stepping in for John. I’ve a two part question. The first is how COVID lockdown measures in Asia affected current production, as well as your ability to bring on more capacity. And second, going off with that, I understand you have a distribution partner in China. How have those lockdown measures, if at all, affected your and your partner’s operations there and ability to add new points of distribution?
Martin Roper: Yeah. So the COVID shutdowns, which seem to be mainly limited to China right now, have not affected our production capabilities or our partners’ production capabilities. We do not have production in China. Our production is mostly the Philippines and Sri Lanka and Brazil. And so from a production point of view, it hasn’t been. What China shutdown has done is thrown a sort of disruption into the global supply chain on the ocean carrier side. And it’s made that sort of deterioration of capacity with more ships idled and shut down. So that’s the biggest challenge for us, but no impacts on production. And in China, from a demand perspective, China is our third largest market. But we’ve seen some reduction in the cities where they have been shut down that started sort of mid-March with Shanghai being the biggest impact. And obviously, it’s very uncertain what’s going to happen then, both in China from a shutdown perspective. But we don’t think that let’s say worst case, that shutdown was to continue for another six months, it would not have a material impact on our finances. So I would like to say if it happens, we feel very sorry for our friends there and we would navigate our way through.
David Shakno: Got it. Great. Thank you very much.
Operator: I’m showing no further questions in queue at this time. I’d like to turn the call back to Mike Kirban for closing remarks.
Michael Kirban: Thanks guys. I just want to say thank you. Thanks for your time again. And we’ll be talking...
Martin Roper: Three months
Michael Kirban: ...in three months.
Martin Roper: We look forward to have a great summer and stay hydrated.
Michael Kirban: Thanks, everyone.
Kevin Benmoussa: Thanks, everybody.
Martin Roper: Take care. Bye.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.